Operator: Good morning, ladies and gentlemen and welcome to SiriusPoint's Third Quarter 2024 Earnings Conference Call. During today’s presentation all parties will be in a listen-only mode. As a reminder, this conference call is being recorded, and a replay is available through 11:59 p.m. Eastern Time on November 15, 2024. With that, I would like to turn the call over to Liam Blackledge, Senior Associate, Investor Relations and Strategy. Please go ahead, sir.
Liam Blackledge: Thank you operator, and good morning or afternoon to everyone today. I welcome you to the SiriusPoint earnings call for the 2024, nine months and third quarter results. Last night, we issued our earnings press release, 10-Q filing and financial supplement which are available on our website, www.siriuspt.com. Additionally, a webcast presentation will coincide with today's discussion and is available on our website. With me here today are Scott Egan, our Chief Executive Officer; and Jim McKinney, our Chief Financial Officer. Before we start, I would like to remind you that today's remarks contain forward-looking statements based on management's current expectations. Actual results may differ. Certain non-GAAP financial measures will also be discussed. Management uses the non-GAAP financial measures and its internal analysis of results and beliefs that they may be informative to investors, engaging the quality of our financial performance and identifying the trends in our results. However, these measures should not be considered as a substitute for or superior to the measures of financial performance occurred in accordance with GAAP. Please refer to Page 2 of our investor presentation for additional information and the company's latest public filings. At this time, I will turn the call over to Scott.
Scott Egan: Thank you, Liam, and good morning, good afternoon, everyone. Thanks, as always, for joining our third quarter and nine months 2024 results call. If I stand back, this has been another strong quarter of delivery for SiriusPoint. This will now be our eighth consecutive quarter of underwriting profit, delivering a combined ratio of 88.5%, despite the impact of Hurricane Helene. This marks a 4-point improvement versus the previous year quarter, which is significant. In addition, we've grown our premium on our continuing lines business, again at double digits. And driven by this performance, our annualized underlying ROE at nine months 2024 is 14.4% and well within our stated target range of 12% to 15%. These are very important proof points against our ambition of building an underwriting track record for the company. Our strong discipline and underwriting first focus is delivering. And importantly, we continue to believe we can improve from here, and we will work hard to make this happen. Over the past two years, we have closed the gap significantly to our competitors. Coming now to some of the highlights for the quarter, and I'm going to start with premiums. The quarter saw a continuation of the growth in our core business, which we highlighted in the second quarter. In the third quarter, we delivered 10% year-over-year growth for our continuing lines of business. On a year-to-date basis, this now stands at 7%, up from 6% in the first half demonstrating our increasing momentum. Our growth is predominantly coming from our specialty and property market segments, which we are targeting. We believe that our refined One SiriusPoint operating model means that the business can lean into attractive market opportunities in an agile and nimble way. We are and will continue to be relentlessly focused on our underwriting strategy and performance group and our growth strategy is built on disciplined underwriting and pricing. Our third quarter core combined ratio of 88.5% improved by 4 points compared to the prior year period, which includes 2 points of improvement on an underlying quality of earnings basis when excluding catastrophe losses and prior year development. Our cat losses for the quarter were $11 million, which primarily relate to Hurricane Helene. This represents just 1.9 points on the combined ratio. Additionally, we also saw the effects of Hurricane Milton as it made landfall in Florida. While it's not in our third quarter numbers, our initial estimate for net losses relating to this event are in the range of $30 million to $40 million. Given the recency of Hurricane Milton, there is still a wide range of insured industry loss estimates. Our estimated loss is based on a detailed bottom-up evaluation of our exposures, which largely emanate from a property reinsurance book. We expect the Hurricane Milton loss combined with previous events in the year to remain contained within our full year catastrophe budget. Importantly, we still expect our reinsurance business to deliver a strong full year performance. Obviously, Hurricane Milton remains a very recent event, and we will update more fully as part of our fourth quarter reporting. That said, the impact of Hurricane Helene and Milton combined are a very important and demonstrable financial proof point of the significant restructuring and refocusing of our property portfolio which we have communicated before through both reductions in our PMLs and geographical focus. Real life, unfortunately, gives us the evidence to back this up. I do think, though, it's incredibly important to also talk about the hurricanes through a human lens. We've seen the very visible and upsetting scenes of devastation, and I want to take this opportunity to acknowledge the impact that these events have had to our customers, our partners and to my colleagues over recent months. We offer our full support and are fully committed to working hard to ensure claims are paid as soon as possible so that those effects can begin to rebuild their lives. This is why we're here, and we must never forget the crucial role that we play. Now looking at our distribution strategy and our consolidated MGAs. Our MGA distribution strategy continues to be strengthened with six new partnerships entered into in the third quarter through our MGA Center of Excellence. So far, this year, we have entered into 17 new programs with carefully selected banners. We believe our approach and the infrastructure and capabilities we are building in both underwriting and the MGA center of excellence means we are well on our way towards achieving our ambition to become a preferred partner for delegated business. The quarter also marks the first quarter in which we no longer consolidate the results of our MGA, Arcadian. As a reminder, and as shown in further detail in Appendix 2, the deconsolidation has no impact on our underwriting relationship, net income available to SiriusPoint or 9% equity ownership. I continue to make the point every quarter that there is significant off-balance sheet value in the remaining three consolidated MGAs. The two most material of these where we own 100% of the equity aligned to our strategically important stent and health division. These two MGAs, which we currently carry on our balance sheet at $89 million have generated net service fee income of $32 million in the first nine months of 2024. We continue to perform strongly with fee income increasing 18% on the prior year period, driven by increasing revenue reduced costs and an improving margin. On our wider, smaller equity stakes, which we've been rationalizing over time, these stand at 22%, down from 36% at the start of 2023. Looking now at our investment portfolio. We've reported another excellent result for the third quarter. Net investment income for the quarter was $78 million, contributing to our third quarter investment result of $93 million. This outcome reflects the strong fixed income rates we've been able to lock in, aided by mark-to-market gains following the commencement of Fed rate cuts and our ongoing optimization of the portfolio. We will also outperform against our net investment income guidance and expect this now to land between $295 million and $300 million for the full year 2024. The third quarter also saw us account for the previously announced two part transaction with CMIG. As a reminder, we were able to deploy our capital to complete the repurchase and retirement of $125 million of CMIG's common stock equating to approximately 9.1 million shares. Secondly, we completed the full and final settlement of the Series A preference shares in cash. These preference instruments related to COVID reserve uncertainty at the time of merger, and we view the settlement of these instruments as a positive step in reducing the volatility on our income statement going forward. The impact of the Series A settlement was in line with the guidance we previously disclosed in the second quarter, but obviously, it has had an impact on our net income in the discrete third quarter. Therefore, our headline net income for the third quarter because of this transaction was $5 million, while the net income for the nine months ended September 30, '24, stands at $205 million. If you exclude this transaction and the impact of the LPT from last year, our underlying net income for the quarter was $89 million, which is a 69% increase compared to prior year. This is much more reflective of the progression in our underlying earnings power. And finally, we remain within our upgraded medium-term ROE range of 12% to 15%, with underlying ROE of 14.4%. Our book value per share grew by 3% in the quarter and has grown 10% today. In summary, I will end where I started. Another quarter of strong strategic and operational delivery and our focus on being an underwriting first business becomes much more evident with each quarter. The strategic equity actions, which we completed this quarter have strengthened our position for future success and will remove future volatility from our results. This quarter also marks my second full year at SiriusPoint. I'm incredibly proud of the transformation we have achieved in this time. We built a strong foundation, which we are now showing we can grow from while remaining laser-focused on underwriting profitability. It feels right that I should in this important personal anniversary extend my huge gratitude to my colleagues at SiriusPoint for their relentless dedication and determination every day to make the company better. This company is and always will be about our people and I am incredibly proud of them and grateful to them for their continued support. Together, we aim to drive further value through strategic targeted improvements and become amongst the best-in-class in our industry. With that, I will now pass it across to Jim, who will take you through the financials in more detail.
James McKinney: Thank you, Scott, and good morning, good afternoon, everyone. Starting on Slide 10, we highlight our third quarter results. It was another great quarter with an improved combined ratio of 88.5% for core business, gross written premium growth of 10% for continuing lines that is adjusted for the business exited in 2023 and underlying net income of $89 million. The underlying net income reflects an increase of $36 million versus the prior year quarter. As a reminder, the headline net income of $5 million contains the one-off impact relating to the CMIG transaction. The $60 million impact from the CMIG transaction was in line with our previous guidance given the second quarter release. Focusing now on underwriting, gross premiums written increased by 10% quarter-on-quarter on a continuing lines basis, excluding the $98 million of workers' compensation and cyber premiums exited in 2023. On a headline basis, gross premiums written decreased 5% quarter-on-quarter for our core business. Our headline combined ratio of 88.5% for our core business was a 4-point improvement versus prior year. This was due to both lower attritional losses with the attritional loss ratio decreasing by 3.1 points compared to the prior year quarter and higher favorable prior year development. Favorable prior year development in the quarter stood at $27 million for core business versus $10 million in the prior year quarter, excluding the LPT. This includes $20 million of reserve releases relating to favorable COVID-19 development trends. Looking on a consolidated basis, which also includes runoff business. This is the 14th consecutive quarter of favorable development, a testament to our reserving improvements. Catastrophe losses for the quarter were $11 million compared to $7 million in the prior year quarter. $10 million of these losses related to Hurricane Helene. Core NGA revenues and net service fee income reduced quarter-over-quarter as a result of the deconsolidation of Arcadian. The net service fee income related to Arcadian remains unchanged, but now flows through other revenues as illustrated in Appendix 2. When adjusting for Arcadian, service revenues increased quarter-over-quarter. Service expenses reduced and net service fee income increased by double digits. Net investment income for the quarter was strong at $78 million. This is up $3 million compared to the prior year quarter as the derisked portfolio continues to benefit from rate increases. Unrealized and realized gains, including from related party investment funds were $15 million. The total investment results for the quarter stood at $93 million. Other items impacting income included $14 million of interest expense, of which $6 million relates to funds withheld on loss portfolio transfers and $3 million of foreign exchange losses. The quarter also experienced a $117 million impact from liability classified capital instruments, which contains the pretax settlement of the Series A preference shares, a $26 million amount relating to the mark-to-market on the merger warrants, while diluted book value grew per share by 3% in the quarter, common shareholders' equity remain broadly flat. With the repurchase and retirement of $125 million of CMIG shares offset by mark-to-market gains on our fixed income holdings. Now looking at our nine months performance on Slide 11. We are very pleased to report a combined ratio of 91.1% for our core business, net income of $205 million and diluted book value per growth of 10%. Looking at the underlying net income, which adjusts for the one-off impacts, including the loss portfolio transfer last year. A net impact from the strategic MGA actions from the second quarter and the CMIG transaction this quarter, net income increased 33% year-on-year to $258 million. demonstrated the improving quality of our underlying earnings. Importantly, our first nine months performance is within the medium-term ROE guidance range of 12% to 15%, standing at 14.4% annualized on an underlying basis and 11.4% annualized on a headline basis when including the net effect of the one-off items I previously mentioned. Common shareholders' equity stands at $2.5 billion, which is an increase of 8% since the start of the year or an increase of 13% since the start of the year when excluding the share repurchase from CMIG. As I mentioned on the previous slide, core MGA revenues and net service fee income reduced quarter-over-quarter as a result of the deconsolidation of Arcadian and this is also affecting the year-to-date results. When looking at our two largest MGAs where we own 100% of the equity, and they relate to our strategically important accident and health division, their net service fee income increased 18% compared to the prior year to $30 million, with the service margin improving 3 points to 21%. Now looking at the premium trends, as shown on Slide 12. For the first nine months of 2024, continuing lines premium increased 7% compared to the prior year period. This is at an increased amount relative to half year, where continuing lines premiums were up 6% year-over-year, demonstrating the growth momentum that has been building since the first quarter of the year. While runoff remains a drag on headline business performance through year-end, we expect the impact to be insignificant in 2025. Year-to-date, continuing lines growth has been driven by the Insurance and Services segment, where we had double-digit growth within specialty and property specialisms, which was led by both North America and international programs. This growth included significant contributions from programs launched in 2023 as momentum builds in our distribution strategy and is beginning to bear fruit. On the reinsurance side, premiums were flat year-to-date. This is in line with our overall strategy to grow insurance and services over reinsurance in the long term. We continue to see reductions in U.S. casualty that were partially offset by growth in our Bermuda property and specialty lines in the first half. In the third quarter, we saw growth within this segment marking the first quarter of growth within reinsurance for two years. The growth in the quarter was driven by increased growth from our international specialty business, where we saw strong growth from our programs business. In particular, coming from an expansion of our partnership with an existing distribution partner on a strategic opportunity and from higher growth in our New York property business. Our underwriting first strategy means that we are targeting growing in the areas that we believe will bring the best return on capital, such as North American programs in London and international programs. Our One SiriusPoint structure allows us to be nimble capital allocators so that we can grow where we see the best opportunities in the market. Looking on a discrete quarterly basis for core business, gross premiums written decreased 5% quarter-on-quarter. However, on a continuing lines basis, which excludes the exited cyber and workers' compensation business from 2023, gross premiums written were up 10% for the quarter. Slide 13 shows a more detailed view of where our portfolio is seeing growth. Our property book is growing at double digits as we take advantage of the hard market within U.S. catastrophe reinsurance and low catastrophe exposed business. Rates, terms and conditions within the property portfolio are generally holding stable and we expect any potential downward pressure on pricing to subside given the impact of Hurricane Helene and Hurricane Milton. Our accident health book of business is unique and has been a stable source of underwriting profit through the cycle and an important part of our strategy to maintain a low volatility portfolio. Premiums in this specialism are down in 2024, driven by the nonrenewal of a specific quota share agreement with one of our partners. This has had a negligible effect on the business mix attributable Accident & Health, remaining at roughly a quarter of our total portfolio premium. Within Accident & Health, U.S. Medical is seeing rate increases largely in line with loss cost trends, whilst rate within other segments of the book remains stable. Looking now at our Specialty segment. We are seeing strong growth with gross premiums written increasing by 41% year-to-date. We have bolstered our marine and energy offerings with key hires in the first quarter of 2024, and this is beginning to show in the premium growth we are seeing. Rates within the energy portfolio are stable or up, with the exception of upstream, where we are seeing a slight softening in rate. Marine rates are also stable, and we expect future rate to emerge given the Baltimore Bridge collapse from which our losses were not material. Elsewhere, within specialty, rate within the credit book remains generally stable, although our expectation is that elements of the credit book will experience rate increases as interest rates decline. Within casualty, we have kept premiums written stable on a gross basis and had a slight reduction in the premiums written on a net basis. This is despite our casualty book benefiting from double-digit positive rate change and excess casualty and low to mid-single-digit rate change for primary casualty lines within E&S as we remain cautious on this segment given recent social inflation trends. The rate we are achieving in casualty is currently exceeding our loss cost trends. Turning now to Slide 14, which shows our combined ratio walk on a like-for-like basis, adjusted for the impact of the loss portfolio transfer entered into in 2023 and our underlying earnings quality. Our nine month 2024 combined ratio, excluding the small deferred gain from the LPT stands at 91.4%, a 2.1 point improvement versus the prior year. 1.6 points of this is due to an improvement in our quality of earnings, as shown on the right-hand side which excludes prior year development and catastrophes. Favorable prior year development, excluding those related to the loss portfolio increased versus the prior year, reducing the combined ratio by 2.3 points compared to 1.6 points in the previous period. The year-to-date catastrophe loss ratio within our core segment was slightly higher than the prior year at 1 point versus 0.8 points but remains at historically low levels following our portfolio restructuring. As I mentioned, the underlying earnings quality combined ratio, shown on the right-hand side of the slide, strips out the impact from catastrophe losses and prior year development, which both inherently vary over time. We believe this metric is useful in demonstrating the underlying quality of our underwriting portfolio. We were pleased to report an improvement in the quality of earnings by 1.6 points year-to-date in the core business compared to the prior year. The improvement was driven by improvements in the attritional loss ratio, which improved by 3.4 points more than offsetting the 1.5 point increase in the acquisition cost ratio due to a shift in business mix. Importantly, we saw an improvement in the quality of earnings combined ratio for both the Insurance and Services segment and the reinsurance segment as the underwriting actions are improving the book across our portfolio. Looking also at the discrete third quarter, core quality of earnings improved by 1.6 points, in line with the year-to-date trend. Looking further into catastrophe losses on Slide 15 shows the three year trend in losses and the evolution of our model PMLs over the period, demonstrating the effects of the portfolio actions taken in the second half of 2022 and 2023 on our portfolio. For the third quarter 2024, catastrophe losses remained materially lower than those seen in 2022 relating to Hurricane Ian and are at a similar to the level seen during the third quarter of 2023. Our catastrophe losses as a percentage of common shareholders' equity have fallen year-over-year for the last three years on a discrete third quarter and nine months basis. The third quarter catastrophe losses of $11 million related primarily to Hurricane Helene. There has been significant industry catastrophe activity and other reasons, most notably Europe and Canada for which we have no losses as a direct result of our reduction in international property. Hurricane Milton which made landfall in Florida on October 9 and was a sizable and meaningful industry amount is on track to be the largest insured loss in Hurricane Ian. We estimate $30 million to $40 million of losses related to Hurricane Milton that we anticipate to be reflected in our fourth quarter financial results. This loss represents around 1.2% to 1.6% of opening book value for the fourth quarter and brings our year-to-date catastrophe losses to 1.9% to 2.3% of book value. Our losses as a percentage of shareholders' equity compares well against our peers based on their disclosures. This reflects our deliberate actions in the property catastrophe reinsurance space, maintaining discipline on pricing and retention. It also reflects our deliberate strategy to balance our portfolio, combining these higher volatility lines such as catastrophe reinsurance with our unique Accident & Health portfolio, which represents roughly a quarter of our premium. As I mentioned earlier, we expect that the heightened catastrophe activity this year will trap collateral and serve to moderate any pressures on property reinsurance pricing at the upcoming 1/1 renewals. Turning to our strong quarterly investment results on Slide 16. Net investment income for the first nine months of the year was $235 million. Our current forecast for fiscal year '24 net investment income is estimated between $295 million to $300 million. The portfolio continues to perform well. And in the third quarter, we saw no defaults across our fixed income portfolio. Overall, our investment strategy remains unchanged as we continue to operate a high-quality, low-volatility fixed income portfolio with an average credit rating of AA. 82% of our investment portfolio is now fixed income, of which 98% is investment grade with an average credit rating unchanged at AA. During the quarter, we continue to see reinvestment rates in excess of 4.5%. Our portfolio duration remained stable at three years. And as a reminder, assets backing loss reserves remain fully matched. Moving to Slide 17. The balance sheet is robust with an estimated 265% BSCR ratio and significant liquidity. At quarter end, we had $2.5 billion of common shareholders' equity. This is flat versus prior quarter, largely due to the previously discussed share repurchase and retirement of the Series A preference. Total capital, including debt, stood at $3.4 billion, the share repurchase meant that our debt to total capital ratio increased by 0.4 points in the quarter to 19.7%, which remains 4.1 points lower at the start of 2024, thanks to our partial debt retirement in the first half of the year. This ratio remains within our target range, while asset leverage remained stable at 2.9 times. As a reminder, we have an outstanding share repurchase authorization of $181 million. With this, we conclude the financial section of our presentation. Our third quarter and nine months 2024 results were strong and demonstrate stable, consistent and improving results. We expect to build on this performance and aim to deliver a 12% to 15% return on average common equity through the cycle. I would like to thank you again for your time this morning. For any questions, please contact our Investor Relations team at investor.relations@siriuspt.com. I now turn the call back over to the operator.
Operator: Thank you. Ladies and gentlemen, the conference of SiriusPoint Limited has now concluded. Thank you for your participation. You may now disconnect your lines.
End of Q&A: